Operator: Dear ladies and gentlemen, welcome to E.ON's Q3 2020 Results Conference Call. At our customer's request, this conference will be recorded. As a reminder, all participants will be in a listen-only mode. And after the presentation, there will be an opportunity to ask questions. [Operator Instructions].  May I now hand you over to Verena Nicolaus-Kronenberg, who will start today's conference. 
Verena Nicolaus-Kronenberg: Many thanks. Dear analysts and investors, welcome to our Q3 results presentation. I'm here with Marc Spieker, who will briefly guide you through the key topics. Afterwards, we are happy to answer any questions. With that, over to you, Marc.
Marc Spieker: Thank you, Verena, for the crisp introduction and I will try to keep it equally crisp. Good morning and a warm welcome from my side.  During the third quarter, we have achieved a very strong operational performance throughout all our businesses. This gives us a lot of confidence for the remainder of the year. We maintain our full-year outlook 2020 despite an intensified COVID situation across our markets. We likewise confirm our midterm targets, including our dividend commitment.  What makes us so confident in the current situation? To start with, we now have ticked off all boxes relating to the integration of innogy, which is actually beyond our own expectations.  We have closed all remedies transactions with the sale of innogy's Czech retail activities. To remind you, proceeds from remedy disposal amount to around €1 billion. This is more not only with regard to what you could expect in a pandemic situation, but even in a normal market environment. All the money is now in our bank account. Reporting wise, the bulk of it will be recorded on the balance sheet with our Q4 numbers.  Further steps to integration included the successful rebranding in Germany. 2.5 million customers which were supplied under the innogy brand are now happy E.ON customers. We managed this process without any material impact on churn.  We have now also effectively merged the innogy headquarter on to the E.ON platform. Against this background, I'm happy to confirm our synergy target for 2020 of €120 million as well as our total target of around €740 million by 2022 and around €780 million by 2024.  In addition, the far reaching IT renewal programs both in Germany and the UK keep on running smoothly. This week, we just surpassed the level of 1 million accounts migrated on the new platform in the UK. And we are also progressing with the migration of our German customers according to plan.  Finally, the recently applied selective lockdown measures in various E.ON countries are not expected to have a significant impact on our performance and hence our full year financials.  In a nutshell, the innogy integration has been successfully concluded. We continue to see a strong resilience of the business in the context of the current pandemic. And there is even further upside from the European recovery program, which I will explain on the next slide.  As we have already said earlier this year, we are currently assessing the opportunities for E.ON from the EU recovery program. Out of the total €750 billion funding, around €60 billion within the recovery and resilience facility are earmarked for expenditures related to climate across the E.ON markets, and which can be directed towards the energy industry.  Within the areas that member states should address for EU funding, there is a list of potential investments that are focused on the green and digital transition. Most of these activities are matching the investment opportunities within our customer centric energy infrastructure activities.  On that basis, we see ourselves well positioned to access government funding with keeping our own CapEx level at least as planned. We already have identified 200 projects for execution, representing a potential volume of several billion euros.  To be on top of the process, we have set up a dedicated team to evaluate a project portfolio based on the criteria within the EU funding framework, which is still under negotiation until the end of the year. We're engaged at EU level and in our market units early on after the historical agreement in the EU Council.  In close collaboration with our local units, we are coordinating to follow up the initial positioning of key priority investments, such as in smart grids, heating and cooling, e-mobility and hydrogen and in the next step to place concrete projects in the pipeline across the member states.  It is up to each member state now to define who is eligible, where and how to spend the recovery funds, allocation to achieve a green reboot of the economy, something that E.ON has called for early on. And we will continue constructive dialogue with governments to contribute to a sustainable and resilient economic recovery.  Our unique positioning across the European member states is the ideal basis for maximizing the potential from the recovery program. This is backed up by our significant experience in securing EU funding already in the past. Our participation, for example, in the project of common interest from the European Union include our smart grid initiatives across the Czech and Slovakian border, our dedicated projects that are improving the security of supply in the border regions of Slovakia and Hungary. They will modernize the network, use new smart grid technologies and improve the integration of renewable energies.  With those activities, we've been able to access grants from 2020 onwards already in the magnitude of close to €200 million. Our activities on that front also support our recently increased midterm power up growth target until 2022 of 4% to 5%.  Let me now move to COVID and how it affects us specifically in the third quarter and what the outlook for the remainder of the year is. With that, please turn to page 4. The power demand recovery has clearly been above our expectations in the third quarter. Our main markets have been operating almost on pre-crisis levels, some even above.  As a reminder, we anticipated a 5% volume decline year-on-year for the second half of 2020. The most recent demand data from last week shows that the selective lockdown measures taken so far during the fourth quarter will have a far less significant impact on energy demand than the previous lockdowns during spring this year. From today's perspective, the current selective lockdown measures in E.ON's core markets will not have a material impact on full-year earnings.  I can also reconfirm our confident view on the payment behavior of our customers as we do not observe any material increase in bad debt with respect to days of sales. In this context, we have only slightly increased our bad debt provisions for specific COVID reasons from the previously reported €35 million as of H1 to €45 million by the end of Q3.  Be reminded, even though it is recorded in our earnings, this is almost entirely related to so-called expected credit loss, i.e. it has only provisional character. In fact, we have not faced any major default so far.  In the UK, the level of overdue receivables is still higher than in 2019, but the overall position has stabilized during the third quarter. To proactively manage the situation, we have implemented measures such as shortening of billing cycles, offering pause of billing or increasing late payment fees. In this context, we managed to recover already a fair share of the €100 million working capital increase seen as of the first half. As of Q3, this balance has consequently moved down to a level of only around €15 million.  Of course, we still do not rule out insolvencies once governmental support schemes run out. But currently, we have no indication for significant bad debt buildup and feel comfortable with the precautionary measures that we have implemented.  Now let me move to the financial performance of E.ON in the first three quarters of 2020. And with that, move to page 5. EBIT came in at €2.7 billion euro, which is a decline of 10% compared to the pro forma earnings of the same period last year. The reported year-on-year decline for the group is largely COVID-related. Compared to the second quarter, the negative impact from COVID has increased by about €50 million. The total year-to-date impact now stands at roughly €250 million. Adjusted for this effect, our earnings would actually have been on prior year's level.  Looking at the segments, earnings in Energy Networks are down approximately €220 million compared to nine months last year. Roughly €120 million of that decline results from COVID-related lower volumes in our German and Central Eastern European operations.  In addition, lower weather-related volumes in Germany resulted in a decrease of the operating result, which we reported already for the first quarter. Let me remind you, declines from both COVID and weather will be almost fully recovered within the coming years. The lowest Swedish WACC in the new regulatory periods contributed another €100 million to the decline in the first three quarters.  Our Customer Solutions segment is down only €40 million year-on-year, despite significant adverse weather and COVID-related effects. COVID effect on our Customer Solutions segment added up to roughly €130 million in the first three quarters of this year. This includes the realized loss from [indiscernible 10:53] excess volumes at lower spot prices in the size of a high double-digit million euro amount, as well as bad debt provisions mainly in the UK of roughly €45 million as mentioned earlier.  In the UK, our bottom line was benefiting from our restructuring efforts despite our ongoing customer migration that obviously weighs on the profitability. Be reminded that, especially in the UK, the seasonality is usually very pronounced towards the beginning of the year. For that reason, we expect the fourth quarter to be negative in absolute terms with regard to the operating results line. Nine months earnings of our non-core businesses are slightly down year-on-year. The increased contribution from our nuclear operations resulting from higher hedge prices was compensated by negative effects from the purchase of the production rights.  The result of our Turkish upstream joint venture was negatively affected by a write-off of certain legacy projects and an adverse FX development.  Let us take a brief look at what the earnings development means for our bottom line. Our adjusted net income came in at around €1.1 billion for the first three quarters of 2020, down 15% versus pro forma 2019, reflecting the decrease in our operating results. Economic interest results and income tax rates are fully in line with our communicated expectations.  Let me now turn to the development of our economic net debt. Compared to the first half of this year, economic net debt improved by roughly €1 billion euro to around €42 billion at the end of first nine months.  As highlighted during our H1 communication, improvement is largely due to a very strong operating cash flow. As per the third quarter, the cash conversion rate improved to 87%. Relative to the first half, we have seen a significant recovery in our working capital by more than €2.5 billion. And this is in line with the seasonal expectation which we expressed as of H1 stage. On the back of this rebound, our net financial position is now back on first quarter levels as we indicated. Pension provisions increased again by roughly €600 million since the first half as a result of an increase in the defined benefit obligations, in line with a further meaningful decrease in pension discount rates of 20 basis points in Germany. The performance of our asset portfolio in the third quarter was not able to compensate for the increase in the defined benefit obligation.  For the remainder of the year, we expect a continuing strong operating cash flow. The closing of the sale of innogy's Czech retail operations will further improve our economic method position. We currently anticipate a level comparable to the first quarter, leaving aside any movements in our pension provision.  I will conclude my presentation with our outlook on page 8. I confirm all our targets for the full year and also for our midterm trend until 2022. The updates we have given with our H1 communication stay fully intact. Let me repeat. The current selective lockdown measures across our markets are not expected to have a significant impact on the full year financial. Be reminded that when interpreting the cumulative average growth rates, the earnings increase will be back end loaded. This is particularly due to the regulatory cycle and the corresponding implementation timeline of synergies in our networks element.  The most important element of the midterm framework remains the dividend and our commitment to an annual dividend growth of up to 5%, which I also reiterate today. We will specify the payoff for 2020 with our full-year results disclosure in March next year.  With these final remarks, I would like to thank you very much for your attention and hand over to Verena for the Q&A session. 
Verena Nicolaus-Kronenberg: Many thanks, Marc. We will now start with our Q&A session. Let me remind you to keep your questions crisp and limit them to two each, so that everybody has the chance to raise questions. With that, over to the moderator please. 
Operator: [Operator Instructions]. And the first question is from Deepa Venkateswaran from Bernstein. 
Deepa Venkateswaran: My two questions is, firstly, on net debt, Marc, can I just clarify that you said you expect your-end to be around Q1 level, which is around €40.2 million? And do you assume some recovery intention because the interest rates have recently gone up this week? So, that was the first question. And secondly, on the EU recovery, could you maybe give us a bit of color on which stage do your 200 projects get in? Is it when the member states get the funds? That's when you are going to submit your projects? Or are you already involved in discussions as the countries are putting their plan? So, maybe some color. And specifically, I don't know if it were possible to give some ideas of projects on the Customer Solution side that may benefit from this. Thank you. 
Marc Spieker: With regard to the economic net debt, let me first talk about things which are essentially in our hand, which is the net financial position. Here, we clearly expect that we will at least keep the level as of Q3. Actually, if you look at our numbers, you should expect that our net financial position will further decrease towards the year-end.  The second part, the pension provision, obviously, it's hard now to forecast. If I look today at interest rates, asset performance, the situation has already improved. This is why, essentially, I would not take out pension and the development of pension provisions from any guidance, as it will be pretty much the mark-to-market on December 31. So, what you can build on in your modeling, clearly, is that we will drive our net financial position further down. And with our pension provisions, you should not get too distracted from quarterly ups and downs because it's a 20 to 30 year duration liability. So, as I always say, try to look through that one quarter. That will do the trick here.  EU recovery programs, I think the message we want to convey is that, in the markets where we operate, and that is Germany, that is Poland, that is Italy, it's the Scandinavian countries, we are actively engaging with the government. But you should also take note that we will not participate in this kind of bingo, which seems to be going on that everyone raises their hands in order to be seen to have some project somewhere. There's very tangible and solid discussions going on in the various member states how these projects will qualify for the various national schemes. And we will do our job here to make sure that those projects that we feel that they are appropriate, both from a public, but also from our corporate angle, find their way into the support funds.  Potential is meaningful. But we do not expect tangible results before end of first quarter or actually second quarter next year. 
Operator: The next question is from Peter Bisztyga, BofA Securities.
Peter Bisztyga: Two questions from me. On your earnings guidance, could you just sort of tell us where you think you're trending to in terms of – are you heading towards the middle of the end of the range at the moment? And what are the sort of remaining uncertainties for, I guess, the last sort of seven weeks or so – seven or eight weeks of the year?  And then, back to this EU recovery fund, what do you think the balance sheet – or rather, I'd like to ask, what will the balance sheet implications be? So, do you expect the funding to be grants or loans? And do you expect to get those upfront or during the projects or at the end of a project? Any kind of color there would be helpful. Thank you.
Marc Spieker: On the EU recovery funds, very good question. And I should probably differentiate a bit how we also came to the number of €60 billion potential. Because from the €750 billion headline numbers which the EU communicated, we in the first step actually deduct loans. So, we are only looking at the potential which is related to grants. And then, we took off all those countries where essentially we do not have meaningful operations. So, we focus on our core markets. And so, the €60 billion is the potential with regards to grants and in the core markets we operate. And for those, we will then [indiscernible] on specific projects, which will essentially be focused around our non-regulated infrastructure solution business as we feel fully comfortable with our investment [indiscernible] anyhow and would not seek any specific support on that site beyond those projects which I mentioned, which are a part of other EU support schemes. With regard to earnings guidance, at this stage, the key risks are twofold, although the last weeks, with regards to COVID, have been reassuring. So, for example, in Germany, during the last week, we haven't seen any material impact on demand since the second selective lockdown started. Nevertheless, COVID remains one of the key risks. And the other main risk I would mention is weather. So, weather is going to be mild or a stronger winter will have an impact on our results as well.  This is why, at this stage, I would not now narrow down the guidance range or give any indication, whether it's the upper or the lower end. Usually, this means look at the midpoint. This is all what I can say.
Operator: And the next question is from Alberto Gandolfi, Goldman Sachs.
Alberto Gandolfi: First one is on dividends. Considering that your guidance is up to 5% growth, I was wondering – considering this year earnings are down and your deleveraging is mostly going to take place in the next couple of years, wondering if we should be assuming that this year perhaps no dividend growth or very low and then maxing out the next couple of years when actually the earnings are going to support it more. So, I was just trying to think if we can profile the dividend growth a bit more.  And in the second question, you're talking about growing addressable market, partly in Customer Solutions and perhaps you're going to have cheap financing or grants, but you may have to upgrade investment as well. And definitely, you would have more investments in the networks. So, wondering if considering the positive escalation in the addressable market when it comes to electrification, decarbonization, how should we think about your ability to square more investments, deleveraging, dividends? What would you prioritize? And would you be open to follow some of your competitors issuing maybe more hydrates, should we think more disposals, should we think even potentially other capital measures? And it would be very great if we could know the way you're thinking about it. Thank you so much. 
Marc Spieker: I think with regards to both questions, I'm happy to profile and reaffirm the messages which we have already given. And that means for the dividend, we've talked about different growth of up to 5%. So, what our investors can definitely count on that the dividend will, every year in the future, grow. This is our clear commitment and ambition. And by how much it will grow relative to the dividend of €0.46 last year, we will communicate, as I said, with our results released in March. And in that sense, full reconfirmation of what we had communicated before. Also, with regard to our network spend, we've been very clear that we will be focusing on growing organically our asset base, but at the same point in time pursuing and deleveraging plan, which we'll be building on realizing the full potential of synergies, further improving the performance of our businesses via digitalization. You have heard the successful closing with regard to the remedy disposal.  We talked about our working capital measures. As you said, it takes a couple of years in the British sense. I think 2021 will be the year where we implement all that stuff. And this is why, at this stage, there's no reason for us to think or speculate any further. And we are focused on delivering the plans which we put out and are very confident around that. 
Operator: Next question is from Sam Arie, UBS. 
Sam Arie: Good results today. I just have two questions. The first is on the PPL assets deferred in the UK, which I think we spoke about briefly on a previous call. I just wonder if you're able to confirm at this point if you're still involved in the process there or if that's something you can rule out.  And the second question, which, Marc, may be a bit unfair to ask you, but I've been getting this question from clients, so I wanted to give you a chance to tell us whatever you can. But some people are noticing that Johannes' term as CEO runs until next year. And asking if he's likely to extend beyond next year or if there is a succession plan internally that's being discussed. I just wonder if there's anything you could say there to help us think about leadership going forward. Thank you.
Marc Spieker: With regard to PPL, I can only reiterate what we said last time, and that is actually that we do not comment at all on M&A transactions publicly, and that has proven, I think, widely a reasonable attitude to this. What I can nevertheless, maybe a bit more generally, when it comes to M&A, stress is that, on the one side, obviously, an M&A will play a certain role in the development of our portfolio going forward. But I would also like to remind that, when we talk about such transactions, and specifically when it should come to bigger transactions, that there are some key principles, in the sense they need to be value accretive. Value accretive typically in the energy industry means that there are tangible synergies that typically calls for a geographical adjacency. And it also means that we want to have a good knowledge with regard to the geographies and the regulations in place. And in that context, we would also very carefully generally weigh the country risk at any given point in time with regard to a major investment. I think that is some general comments, so that you more generally can assess how likely or not it would be that we engage in any specific asset transaction.  With regard to your client question, you know that questions of board succession are under the realm of a supervisory board and you can rest assured that our supervisory board, as usual, does a very professional job. And it would be highly unprofessional if I was now the speaker for our supervisory board to spontaneously in a results call. So if there's something to communicate around that, that will be done at the appropriate point in time. 
Sam Arie: Okay. Well, I guess I can't argue with that on the second question, but thank you for a helpful answer on the first one. Thanks very much. 
Operator: The next question is from John Musk, RBC. 
John Musk: Two questions for me on the Customer Solutions business. Firstly, just discussing the numbers really, you've obviously had a better result in the UK with some of your operational improvements, but how are the customer numbers trending there? And then, also in Germany, your other main market.  And then secondly, in the UK, specifically with the new billing systems and the npower merger, how are you in terms of the movement of customers on to the new billing system? You mentioned, overall, it's happening, but specifically in the UK, how has that transfer gone?  And, sorry, finally, within that UK business, when does the npower brand disappear? 
Marc Spieker: Let me start with UK. In the UK, market provided us with quite some challenges and difficulties during the past years. We decided to only bank on self-help measures. And I'm very happy to be able to tell you that, with the measures we have taken, and which I'll mention, team in the UK is vigorously pursuing, we are actually on a very good track. Not only that the migration, as I said, is progressing fully in line with plan, we have already migrated successfully 1 million accounts on to the new platform. And with it, reconfirming also our timeline that, during the first half of next year, we will have migrated all B2C and SME customers on to the new platform. And with that, we are also then in time with the restructuring, which makes the migration obviously the second key change for the business. So, we are also in time then to wind down the npower operations by the end of next year essentially, and with it then drive out all costs related with npower.  With regard to the brand, there's an I&C business which we've also taken over from npower. We said that we are laying the cards for that. We'll first focus on also integrating that. But for the time being, we would maintain the brand on for the I&C customers in the market. So, with regards to the brand, that may stay for a select group of customers, but I think it should not be of a great matter for you. So, overall, very promising steps forward in the UK. With regard to the customer numbers, let me then also start with the UK. And here, the customer number development is reflecting what I've just talked about. We are driving down the npower operations. With that, we also stopped any customer acquisitions in the B2C area. Under the npower brand beginning of this year, this is why the npower customers are trending down as expected. On the other side, our E.ON brand adjusted kind of for the migration effect is obviously gaining customers under the E.ON Next brand now from the migration. Even if I adjust for that migration, our, call it, E.ON brand is performing very solidly. Bottom line, that means for the UK, our customer numbers combined are slightly going down, about 200,000 accounts, but this is exclusively due to npower.  For all other markets, our customer numbers are actually going up. In Germany, we've been able to add about 100,000 customers. And so far this year, [indiscernible] also of migrating 2.5 million customers on to the E.ON brand. I think that's quite a strong performance. And also, for the other markets, we are performing very solidly, i.e. readily increasing our customer accounts. 
Operator: And the next question is from James Brand, Deutsche Bank. 
James Brand: I also had two questions related to kind of developments over the next year or two. The first one is on the networks business. And you highlighted in the presentation that the growth there might be back end loaded over the next couple of years with synergies coming through more in 2022. When I speak with clients, one of the key kind of uncertainties that sometimes gets expressed is whether that growth will come through in 2022 or not, particularly given that it is back-end loaded and it seems to hinge on the synergies in the networks business. So, I guess, the key question there is, how confident are you in delivering the synergies in the networks business? Has all the areas in which you are looking to generate synergies been identified already? If so, I guess that should give us more confidence in that growth coming through in 2022.  And then, the second question is a bit of a follow-up, I guess, from the last questions asked by John. But I think you've said in the past that you're aiming for breakeven from the innogy retail business in 2021. Given your answers to the prior question around fully kind of winding that down by the end of next year, should we be maybe thinking about some remaining losses in that business in 2021, but then getting to breakeven. I guess, by definition, it was close. But getting all those losses fully eliminated in 2022 now, was that your original expectation?
Marc Spieker: With regard to the networks questions, I would like to remind you that we have been very consistent since the announcement of the transaction that the realization of the synergies in innogy networks will be back-end loaded. So, it has been very consistent for years. And I'm equally confident as well as been consistent that we will deliver those synergies in 2022. So, in that sense, 100% reassurance for any existing or potential in that, so that those synergies will be delivered. With regard to the breakeven in the UK, if indeed as you describe, the our B2C operation will be wound down by the end of next year, and hence there will be some minor expenses next year, but then the operations will be closed and no negative or positive earnings contribution. At the same point in time, I would like to stress again that we have been successfully migrating 1 million of npower accounts on to our new platform. That platform is showing a remarkably positive performance, actually beyond our expectations at this stage. So with it, we are very confident to dramatically improve our cost base in the UK.  Be also reminded that we took the decision to move our entire E.ON B2C business on to that new platform, so there will be another leg of efficiencies coming from a significant restructuring on the E.ON UK B2C side.  And all put together means that also, with regard to that breakeven of npower and the improvement of the situation in the UK, we are very confident as, again, that is only based on self-help measures. We are not banking on any improvement from the regulator or the market environment. But as always, I would like to stress that still that environment on which we don't bank that it would improve, I still regard it as not sustainable [indiscernible] continue to work with authorities in the UK to make sure that the market framework will improve going forward. Again, we're not banking on that in terms of our own profitability assessment. 
Operator: The next question is from Rob Pulleyn, Morgan Stanley.
Rob Pulleyn: I think most of the things I was going to ask have already happened. So, I'll just ask one sort of looking ahead. So, hypothetically, into the start of next year, if the current stage of shall we say lockdowns and restrictions relating to COVID continue across the countries you're involved in, could we expect to see an impact in 1Q or 1H numbers for 2021? If you can maybe put a little bit of color around that, particularly given, of course, government support regimes may start to be rolled back in that period. Thank you very much. 
Marc Spieker: Overall, do I expect some spillover into 2021? Yes, I'm pretty sure that it will be limited in the context of our numbers. But then to more specifically now speculate around that, at this stage, I think wouldn't help anyone. So, what we can observe is that the current lockdowns has a limited impact on demand. We will continually monitor that. And then, with our March results released, obviously present our view on 2021. But I would be highly surprised if that has a material impact in the context of our group numbers. 
Operator: And the next question is from Piotr Dzieciolowski, Citibank. 
Piotr Dzieciolowski: I have two questions, please. So, the first one is on the UK again. There was some articles that you started negotiations that trade unions over restructuring of the business. Can this process pose any risk to your target? And can you shed any light on what restructuring numbers you're talking about, if this is not too sensitive?  And second, I've seen also you offered innogy bondholders a transfer of this €11.5 billion bonds to E.ON. I remember that it was consolidated – as you started to consolidate innogy, they were marked up to the market value, but yet you adjusted your economic net debt. Can this transaction on the accounting, can it have any impact on the way you treat this bond for the purpose of the net debt calculation? That's the technical changing of guarantor.
Marc Spieker: The way how we technically hand this will not change. I can answer straight away.  And with regard to the UK, we are in a very constructive – continue to be in constructive discussions with the unions. We don't see a particular risk there. We have managed to achieve our cost saving targets in the past without any major disruption from the union side.  It is nevertheless a massive restructuring. As of today, we still employ around 14,000 employees in the UK overall. Of that, 4,500 are to do to npower. A bulk of those employees by the end of next year will leave as we close down the npower B2C operations. And on the E.ON UK side, of the slightly more than 9,000, we do talk about up to 3,500 roles which are going to be affected by the migration in the context of that restructuring of our B2C operations on the E.ON side as well.  So, the restructuring is massive. But so far, we have managed that without any interruption or disruption. And you can bank on that this will continue this way. 
Piotr Dzieciolowski: So, just a quick follow up, so I get the numbers right. So, how many people you're targeting at the end in the whole structure in the new operations from 2022, let's say? 
Marc Spieker: I think target structure, dimensionally will be around 6,000. Dimensionally.
Operator: And this concludes today's Q&A session, and I hand back to the speakers for closing remarks. 
Verena Nicolaus-Kronenberg : Yeah. Many thanks for your continued interest in E.ON. Obviously, the IR team is more than happy to answer any follow-up questions that you might have. Other than that, we will at least see each other online, meet each other in coming up roadshows and conferences. And, yeah, thank you very much and stay healthy. 
Marc Spieker: Thanks also from my side. Have a nice day. Stay healthy. Bye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect now.